Operator: Good day, ladies and gentlemen, and welcome to the General Electric Third Quarter 2011 Earnings Conference Call. [Operator Instructions] My name is Chanel, and I'll be your conference coordinator today. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the program over to your host for today's conference, Trevor Schauenberg, Vice President of Investor Communications. Please proceed.
Trevor A. Schauenberg: Thank you, Chanel. Good morning, and welcome, everyone. We're pleased to host today's third quarter 2011 earnings webcast. Regarding materials for this webcast, we issued a press release earlier this morning and the presentation slides are available via the webcast. Slides are also available for download and printing on our website at www.ge.com/investor. As always, elements of this presentation are forward-looking and are based on our best view of the world and our businesses as we see them today. Those elements can change as the world changes. Please interpret them in that light. For today's webcast, we have our Chairman and CEO, Jeff Immelt; and our Vice Chairman and CFO, Keith Sherin. Now I would like to turn it over to our Chairman and CEO, Jeff Immelt.
Jeffrey R. Immelt: Great, Trevor, thanks. Good morning, everybody. We had a solid quarter in the third quarter with earnings up 11%. Growth was fairly broad-based. Organic revenue growth was 8%, and orders were very strong. Energy, which has been a drag so far this year, should turn positive in fourth quarter. The environment was more volatile particularly in Europe and with U.S. housing, and this had a negative impact on both Healthcare and Appliances. However, emerging market growth was very strong. We have a strong balance sheet, and we continue to execute a balanced capital allocation plan. Significantly, we retired the Berkshire preferred shares and those improved EPS by $0.03 in 2012. So in all, it was a good quarter in a volatile environment. Orders grew by 16% in the quarter, which is a good indicator for the future. Organic orders growth was 6%. Order pricing is flat versus previous year, which is a positive sign. We ended the quarter with $191 billion of backlog and this is the highest in our history. Our market momentum gives us confidence and solid organic growth going forward in 2012 and beyond, so overall we think a very good orders story. For growth, our growth investments are paying off with high market share. Our revenue and growth markets are up 24% year-to-date. We've had 8 of 9 regions experiencing 20%-plus growth. Our services growth year-to-date is up 15%, and we see continued momentum in this important space. Our investment in R&D is paying off with more launches and important segments. We're seeing great success in Energy behind the Flex 50, a new gas engine. Aviation is winning across the board, and we enter the fourth quarter with a strong NPI pipeline in both Healthcare and Appliances. So third quarter industrial revenue organic growth of 8% is we can sure to be very strong. Our margins hit a low for the year in the third quarter. We expect improvement in fourth quarter. Energy is the big driver. In the quarter, we shipped wind and thermal units with pricing below last year. We see that improving for 2012. Our R&D spend is normalizing and should decline as a percent of revenue in 2012. Meanwhile, acquisitions and services are improving. As we said in the second quarter call, we've seen margins come and below our expectations for 2011, but we now see a solid margin growth in 2012. So that really is the margin story. Now for cash, we see CFOA coming in about $12 billion for 2011. We had more working capital in line with higher growth. As I said earlier, we've executed on a balanced capital allocation plan. In the quarter, we bought $2 billion of stock. We completed the Converteam acquisition, and we've now retired the preferred shares on October 17. So between the Berkshire preferred and the buyback in the quarter, that's about $4 billion. And we ended the quarter with $91 billion of cash on the balance sheet, so extremely strong in liquid balance sheet. In GE Capital, we've given this update in the past. I just wanted to give you an update on GE Capital Funding and capital levels. With the $3 billion of debt we did last week, we've substantially completed our 2011 long-term borrowing. And we'll continue to do some reverse inquiries throughout the year. We kept our commercial paper flat. And with $83 billion of cash, we're really in a great position for our 2012 maturities. As you know, the long-term debt maturities go down to $35 billion for 2013 and beyond, so we have a much different funding profile. With earnings and a smaller GE Capital, our Tier 1 common went to 11%. So we're ahead of plan on shrinking GE Capital, leaving us with "dry powder" for brokerage and Asian opportunities in the future. So this is really -- I think GE Capital -- a very good and strong story, so we've got really strong liquidity and capital positions, and GE Capital keeps doing a great job. So with that, let me turn it over to Keith to go through more details on the operations of the company.
Keith S. Sherin: Thank you, Jeff. Let me start with the third quarter summary. We had continuing operations revenues of $35.4 billion, which were flat. Industrial sales of $23.2 billion were reported down 2%. However, as you can see from the notes on the bottom of the page if you exclude the impact of not having NBC revenues, revenues were up 12% in total. That's also reflected in the segment results on the bottom on the right side, you can see the industrial revenues. Financial Services revenues of $12 billion were up 1%. And the earnings and EPS reported for the quarter is a little complicated this quarter, so we thought we'd list all the iterations and then let me explain them line by line. First is the measure that most analysts and investors and the GE management team use. We earned $3.4 billion of operating earnings, which was up 11%. We earned $0.31 of EPS, also up 11%, and here's where retiring the Berkshire preferred comes in. We made the commitment to retire the preferred in September. That resulted in an impact to equity for a preferred dividend, which was the difference between the carrying value we had on our books and the redemption value that we paid for the preferred as outlined in our 10-Ks. So operating EPS, including this preferred impact, was reduced by $0.08. And with some rounding, that's the line that says $0.24 of EPS including the redemption of the preferred. Next is continuing EPS of $0.22 that the only adjustment there is you include the non-operating pension. And then next is net earnings of $3.2 billion, which includes discontinued operations that's up 57%, reflecting the improvement from last year's charge and discounts. And finally, net EPS of $0.22, up 22%. That includes everything that's -- with disc ops and the impact of the preferred. Jeff covered the cash flow of $6.5 billion. Third quarter was consistent with the first half. For taxes, on a year-to-date basis, our consolidated tax rate was 34% or 18% if you take out the highly tax NBCU gain from the first quarter. We previously indicated that we expected a low 20% GE rate for the year, excluding the NBCU gain. We now expect the GE rate to be 19% to 20% for the year since it was about 20% in the first half; the third quarter is lower, 18%, and that averages to the 20% year-to-date rate. The GE Capital rate is 14% on a year-to-date basis. That rate is up significantly from 2010 due to the higher pretax income. We previously indicated the GECS tax rate for the year in the high teens, but our current view is 12% to 14% while the tax benefits are down from 2010. In the third quarter, international benefits increased, so that our run rate of total tax benefits went from about $350 million per quarter as of Q2 to about $400 million per quarter now. And because our view of the total year reflects those higher tax benefits, we needed to book to a lower rate for the third quarter, decreasing the third quarter rate by about 10 points. As we've said before, we have the '06 and '07 audit that's close to completion, the rest of other planning that could affect our rate in the fourth quarter relative to our current year total framework of 19% to 20% for GE and 12% to 14% for GE Capital. On the right side, you can see the segment results. Industrial revenues were up 19%, driven by Transportation and Energy. Industrial segment profit of $3.2 billion was down 1%. And GE Capital earnings were up 79%, driving the overall segment earnings up 15%. And I'll cover each of the segments in more detail as we go through this morning. Before I get to the businesses, I'll cover the other items page. On the positive side, we had 2 items. First, we had a true-up this quarter through our NBCU gain from Q1. The valuation of our initial 49% investment was finalized with the outside advisers, resulting in a $131 million aftertax gain that was recorded at corporate. We also realized the $98 million aftertax gain from the sale of the Unison rings business, which was recorded in our Aviation segment results. We also had some one-time costs in the third quarter. First, we had $77 million of aftertax cost resulting from the termination of 2 supply arrangements. Those were also recorded in the Aviation segment. And we had $60 million of aftertax cost related to our M&A, things like transaction cost, severance and inventory step-up. And we had $50 million of aftertax restructuring and corporate principally for Healthcare and Energy. So they're offsetting items in corporate, and they were offsetting items in the Aviation segment in the third quarter. I'm going to start the businesses with Energy. Energy infrastructure was less negative in third quarter in terms of earnings growth. However, the energy results in 3Q still more than offset the profit growth in Oil & Gas. For Energy, we saw very strong orders growth, specially in equipment. Overall, the orders of $8.6 billion were up 15%. Equipment orders of $4.7 billion were up 56%. They are up 38% even excluding impact of M&A. Renewable orders of $1.8 billion were up 68%. We had orders for 781 wind turbines versus 501 last year. We had large orders in the U.S., Brazil, Romania and Canada. Aeroderivative orders of $600 million were up 2x over last year. Industrial Solutions orders of $780 million were up 29%. And the one negative was thermal orders of $400 million; they were down 49%. We had orders for 16 gas turbines versus 19 last year, but the commitment activity that we see remains strong. Order price index was down 1.7%. Renewable orders was down 4.2%, and thermal orders price was down 7.5%. Service orders in the quarter of $3.9 billion were down 12%. We had a $550-million order from Calpine in the third quarter last year that did not repeat. That's the primary driver of the V. Partially offsetting that, our Energy Services adjacency orders of $2.8 billion were up 6%. Revenues of $8.5 billion were up 25% that was driven by the strong volume, 10 points of the growth came from the new acquisitions. Our thermal revenue was up 60% in the quarter. We shipped 27 more gas turbines versus -- 27 gas turbines versus 24 last year. We also had 4 more steam turbines. We had 21 more generators, and we had $280 million more balance of plant revenue at low margins, which was driving the revenue in total. Renewables revenue of $1.3 billion was down 6%. We shipped 633 wind turbines versus 616 last year. Some of the revenue was from mix, but pricing was down 9% or about $130 million in the quarter. Service revenues of $4 billion were up 13% ex the acquisitions. For segment profit, we earned $1.2 billion that was down 12%. We earned $60 million in the new energy acquisitions. And excluding that, profit was down about $230 million. The main driver continued to be the wind business that was down over $200 million in the quarter, and we also had a drag from our continued investment in programs and global growth. So now we continue to see the pressure from the renewables business, and I'll show you the future energy outlook on the next page. On the right side, we also want to cover Oil & Gas. We continued to experience very strong growth organically, plus we had some growth from the recent acquisitions and some impact from the weaker dollar in the third quarter. Orders of $3 billion were up 77%, 34 points of that growth came from the M&A, 8 points from FX, so still organic orders in the segment were up 35%. Equipment orders were very strong, up 83% ex M&A. We saw our turbomachinery orders up 33%, and drilling and production was up 2.6x. Service orders were up 13% in the quarter ex M&A, so a good, strong organic quarter in Oil & Gas. Orders price index was basically flat at negative 0.1% in the quarter. And revenue of $2.5 billion was up 42%, up 17% ex the M&A. Equipment revenue was up 23%. Service revenue was up 10%. And segment profit of $319 million was up 11%, that was driven by the impact of the acquisitions plus the strong volume partially offset by pricing in our global growth investments. On the next page, I just want to give you an update on the outlook for Energy Infrastructure for the fourth quarter. Third quarter year-to-date, we've earned $4.4 billion, which is down 12%. At the second quarter earnings call, we showed you the growth in volume from the first half to the second half. Lots of that volume was in the fourth quarter. We also said we expected second half op profit to grow, so we're planning on a strong fourth quarter for Energy. And if you look at the chart, the drivers are listed on the right side here. You can see the volumes and these units are in backlog. So down the left side, wind turbines will be up 35%; gas turbines will be up 70%; steam turbines will be about flat; and aero will be down slightly. This is going to be a big volume quarter for the Energy team. We're also experiencing strong outages and overhauls for the Service business. Our spending levels on programs will not be a drag on margins in the fourth quarter. And we'll have a full quarter of all our acquisitions, and acquisitions continue to perform. So the positive energy growth starts in the fourth quarter. We're looking forward to that, and we expect it to continue into 2012. Next is Aviation. The Aviation team had another strong quarter in Q3. Orders of $5.7 billion were up 14%. Commercial engine orders of $1.9 billion were up 18%, driven by GE 90. Military engine orders, $528 million, were also up 15%. Equipment orders price was up 1.5%. And we ended the quarter with a backlog of $21 billion, up 7% versus last year. Service orders of $2.9 billion were up 18%, driven by strong spares. Our commercial spare parts orders were $27 million per day, which was up 21%. And military services were up 11%. Revenue of $4.8 billion in the quarter was up 10%, driven by the equipment. Volume was up 11%, primarily from an increase in commercial engine shipments, which were up 16%. We shipped 102 more units in Q3, driven by CFM and Small Commercial. We shipped 28 GEnx engines in Q3, and that volume nearly doubles in Q4 as both the 787 and the 747 with GE engines begin deliveries to customers. Service revenues were up 9%, driven by the strong spares, up 11%, and partially offset by military which was down 2% in the quarter. The segment profit of $862 million was up 7% that was driven by the strong volume, net of positive value GAAP and the net benefit of the transactions that I covered on the other items page, partially offset by higher R&D and the new engine launch cost. For Transportation, the business also had another strong quarter in Q3. Orders of $1 billion were down 28%, driven by no counterparts at 2 large multiyear orders last year. Equipment orders of $439 million were down 55%, included in that there were bright spots. Mining orders of $193 million were up 54%. And the equipment backlog in total was very strong, close to $3.9 billion, up 2% over last year. Service orders of $572 million were up 30%. And the revenues of $1.3 billion were up 48%, driven by the higher volume. We shipped 169 locomotives versus 96 last year that drove the equipment revenues up 64%. And service revenues were up 30% on strong part sales. Segment profit of $196 million was up 94% over last year, driven by the higher volume and continued improvement in services. Next is Healthcare. Healthcare team delivered another quarter of positive growth with continued reinvestment. Orders of $4.6 billion were up 11%. Equipment orders of $2.6 billion were up 13% with DI, up 16% and Clinical Systems, up 11%. Orders were up 4 points from the weaker dollar. U.S. equipment was up 7%, and non-U.S. was up 18%. And just to give you some of the pieces, China was up 27%. India was up 25%. Latin America was up 33%. Europe was up 2%, but if you adjust for the FX, it was down 8%, and that gave us some pressure in the quarter versus our expectations. Service orders, up 9%. The total orders price was down 1.2%. We ended the quarter with an equipment backlog of $4.3 billion, which was up 9% from last year. Our revenue of $4.3 billion was up 9%, driven by the equipment, up 12% and service, up 7%. And for revenue, just by product line, ultrasound was up 20%; devices were up 8%; CT was up 5%; MR was up 1%; Life Sciences were up 12%; x-ray was down 4%; and services were up 7%. For the quarter, segment profit of $608 million was up 5% that's driven by a higher volume, by a better productivity, partially offset by the negative price and $30 million investments in new products. On the right side of the page, Home & Business solutions had another challenging quarter. Revenues of $2.1 billion were down 1%. Segment profit was down 63%. Intelligent platforms revenue was up 8%. Lighting revenue was up 7%, and Appliance revenue was down 7%. The results in the quarter were driven by Appliances. Domestic market was down 5% in units. We also saw a material inflation. We're just starting to see the impact of our August price increase, and we're also continuing to invest to develop the new products, which we'll start to roll out in 2012, so another tough quarter in Home & Business solutions driven by the housing market here in the U.S. And next is GE Capital. In addition to the charts that we have in this morning's pitch here, we also have other GE Capital information in the supplemental debt for your reference. And that's on the web. Mike Neal and the team had another strong quarter. In the third quarter, revenues of $11.1 billion were flat, and it was down 4% if you adjust for FX in line with our ending that investment down 4%. Pre-tax earnings of $1.6 billion were up 2.3x over last year, and net income of $1.5 billion was up 79%. On the right side, you can see the asset quality metrics. They were about flat for Q2. We had good volume in the quarter, $10.6 billion in CLL, up 31%. Our margins remained strong, especially on new business. Our ending net investment of $452 billion is shrinking ahead of plan. And just on ending that investment, it declined $5 billion from the second quarter. That decline was driven by 100% by our red asset portfolio, mortgages, real estate, equipment services, which were down $7 billion from the second quarter. And core ENI was up $2 billion, mostly in CLL and retail finance. From a business perspective, I'll start with consumer. Our consumer business had another strong quarter. We ended Q3 with $141 billion of assets, which was down 3%. The net income of $737 million was down 5%. That result reflects the loss of over $100 million from prior year dispositions, like Garanti and Colpatria. Excluding the disposition impact, consumer was up 19%. U.S. retail finance had a good quarter, they earned $462 million, up 40%. That's driven by lower loss provisions as delinquencies improved by 130 basis points over 3Q at '10. Volume was $21.9 billion, up 11%. And as expected, our credit costs increased from the seasonally low 2Q '11 levels to more normal levels in the third quarter. Europe also had a good quarter in total. They had net income of $123 million on a reported basis that's down 39%, driven by the loss of the Garanti income in Turkey but partially offset by lower credit losses. If you exclude the Garanti disposition, Europe was up 7%. U.K. Home Lending earned $57 million in 3Q. It's the eighth consecutive quarter of positive earnings. Our U.K. Home Lending assets declined $1.6 billion year-over-year; it's down to $17.6 billion. We realized 116% of the mortgages that we liquidated in the third quarter. Our REO stock is down to 540, the lowest since the fourth quarter of '07. And from the peak of second quarter in '08, we've reduced our global mortgage balance from $79 billion at that time to $39 billion today, so down $40 billion over that period. Commercial Real Estate, they had a nice improvement versus last year and versus 2Q. We lost $82 million in the quarter, but that was $320 million better than last year and $250 million better than Q2. In Q3, we had $32 million of aftertax credit losses. We had $146 million of aftertax margin impairments. And during the quarter, we sold 115 properties for $800 million recording $68 million worth of gains. Our assets were down 17% year-over-year, excluding FX, and down 4% from Q2. Again from our peak in the second quarter of '08, our Commercial Real Estate assets were down $32 billion. Our commercial market has definitely benefited from some more liquidity in the third quarter. We still see economic volatility in Europe. We'll complete our portfolio evaluation review in the fourth quarter and that could result in higher marks and impairment in the third quarter, but we still expect performance to continue to improve year-over-year. Commercial Lending and Leasing business also had another strong quarter with earnings of $688 million, up 55% from last year. Results were driven by lower losses and improved margins. CLL volume was $10.6 million, up 31%. Americas drove most of the income growth with earnings of $547 million, up 58%. Europe was flat, and Asia was up slightly. GE cash had a strong quarter. Earnings of $208 million, up 31% from last year that's driven by lower impairments. We recorded $107 million net of aftertax impairments in Q3 as part of our annual review, mostly on 737 classics. That was $62 million less than last year, and we ended the third quarter with one aircraft on the ground. Energy Financial services also had a good quarter, earnings of $79 million, which was up 44% that's driven by higher core income and lower losses, so overall a very good quarter, a very strong quarter in GE Capital. With all the volatility in Europe last quarter, we wanted to share some facts about our businesses in Europe, so we've put a page together about our GE Capital industrial franchises. On the left side is GE Capital. And our businesses are profitable. Through 3 quarters, we've earned $940 million, which is up 32%. Excluding the benefit of the Garanti gain, our results were up 18% year-to-date. You can see our assets by country and by business. Our asset performance remain solid. In terms of delinquencies, our CLL delinquencies are at 4%. They're down 20 basis points year-over-year. Our consumer delinquencies are 9.8%. They're down 74 basis points year-over-year. We're very diversified. We have over 700,000 commercial customers. Probably the most important point on the page is our business model, over 85% of the assets here are secured by collateral. We do have around $300 million of sovereign debt in the focus countries. It's in Greek and Italian bonds that we've talked about before. We do not have any sovereign debt in Portugal, Ireland or Spain. We actively manage our counterparty exposures here. We stress test the entire portfolio twice a year, and it results in us taking proactive actions to reduce exposures where we feel it's appropriate. Our view is that the assets are going to continue to come to market here at attractive prices as those banks need to downsize or exit certain areas. And we put $2 billion to work in energy assets and in factoring businesses so far at good prices, and we're optimistic that we're going to see some more opportunities here in Europe as things go forward. On the Industrial side, Europe represents 18% of our revenue. We have seen some slowdown in orders as listed below the chart, but the overall decline has been very manageable. And with our global cost position, we've seen very nominal impacts from currency. So Europe, it's an important region for us. We've been there a long time. Our businesses are performing okay, and we're monitoring the situation closely. With that, let me turn it back to Jeff.
Jeffrey R. Immelt: Great, Keith, thanks. And just to wrap up, just going back to the operating framework that we presented in December. I just give you an update we're kind of 3 quarters of the way through the year. We expect industrial growth for the quarter and the year. Energy, which has really had negatives through the first 3 quarters, goes positive in the fourth quarter. Aviation and Transportation are really slightly better than we thought when we put the framework together. Healthcare and Appliances will be slightly lower. Capital momentum is going to continue. We see organic growth industrially in excess of 5%. We see solid double-digit operating earnings for the year. I think if you think about the pattern for the year, so third quarter year-to-date, industrial has been about flat year-over-year. And Financial Services, GE Capital has been growing significantly. I think when you look at the fourth quarter, our industrial earnings go positive. Financial Services stays at a very strong rate, and so you get in fourth quarter momentum and that momentum continues into 2012. So we're confident in the total year framework for 2011, very strong solid double-digit growth gaining momentum as we end the year. And the leading indicators remain positive, so I feel really good about what the third quarter said, how the fourth quarter momentum is looking, and how we feel in terms of closing the year. And then our final chart is just kind of a framework development for 2012. And just -- this is kind of a framework that we presented at EPG and then talked about at the end of the second quarter. And I just wanted to give you a few reflections as we look at it for the fourth quarter, and kind of what we can expect when we do our December dinner and then into 2012. So we see the key factors around GE Capital continuing to improve. I think the real estate turnaround is underway and that shows up in the third quarter. Our balance sheet strength is very strong and our liquidity remains high. Industrial, Healthcare and Transportation, a lot of the elements and fundamentals should continue, and we should continue to grow. I think we're lined up to have solid growth in Aviation and Energy. We've got a full year of the acquisition impact in Energy, and we'll have good momentum in the fourth quarter. Our margins should improve in 2012 versus 2011. We're going to continue to watch the situation in Europe. But as Keith said, it really does appear manageable today. In 2012, really, we should have both solid, organic growth and expanding margins. And so we think the promise of that and the execution around that is key. We retired the preferred shares. We basically have done what we said we're going to do on capital allocation. And I think the retirement of the preferred shares really provides an EPS lift for 2012, and we feel good about that. So we like our portfolio, we think our outlook is strong, and we're well positioned in this volatile environment. So with that, Trevor, let me turn it back to you, and we'll take some questions.
Trevor A. Schauenberg: Great, thanks, Jeff. Thanks, Keith. Chanel, I think we're ready to go to Q&A now. I know we have a lot of people that have a lot of questions, but if we try to limit it to one per person with the amount of time we have, that'll be great.
Operator: [Operator Instructions] Our first question comes from Steve Tusa with JP Morgan.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: I just wanted to make sure you guys have the margin number here. I'm not sure if you gave a revenue number, but what is the absolute profit number in rough terms for the -- either the quarter or for the year? I think $7 billion was kind of around what you were talking about before. Is it around that number for the year?
Jeffrey R. Immelt: You're talking about Energy now, Steve?
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Yes, Energy.
Jeffrey R. Immelt: No, I think we're still in that kind of neighborhood for the year.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. And then one last question, just on the price there and what you're seeing -- hearing from your customers in the U.S. and anything going on there in the U.S. and also just what's the price outlook going forward?
Jeffrey R. Immelt: The order pricing, Steve, in the quarter was a little better than it was in 2Q, still down slightly for Energy.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: It went from negative 2 9 in 2Q to negative 14 on equipment in the third quarter.
Jeffrey R. Immelt: In Q3. I think from a macro sense, Steve, we see good wind demand in the U.S. for '12. I think the gas turbine demand is going to continue to come from outside the United States. And I don't see -- I think that kind of what the guys told you in the industrial meeting in September around pricing still kind of holds. I think it's firming, but it's -- it will continue to be a competitive market.
Operator: Our next question comes from the line of Scott Davis with Barclays Capital.
Scott R. Davis - Barclays Capital, Research Division: I'm wondering can you give a sense of the outlook on Healthcare. I mean, growth is good. And I wonder when we get to 2012, is there -- I mean, given much going on in Europe and such, what are your customers telling you on spending plans?
Jeffrey R. Immelt: So Scott, I'd say Europe and Japan, if you think about those 2 markets in the second half of this year, probably cost us about $70 million for operating profit, something like that in the second half, just those 2 markets. And I don't -- I think Japan could get better. I think Europe we're going to stay cautious on Europe. U.S. is surprisingly strong. Our orders in U.S., as Keith said, were very solid. And then the growth in the emerging markets are booming, so we see phenomenal demand globally. Scott, I think the R&D expense in Q3 was more driven by some of the investments we're making at Home Health and Healthcare IT. We're launching this Colibria product in Healthcare IT, more so than what I would call classic MR/CT type of activity. So a lot of the R&D that you see is really more in the life sciences, IT, Home Health space. And when we think about '12, I mean, we haven't done our operating plans yet, but when we think about '12, I think the profile of mid to high single-digit revenue growth, double-digit op profit growth is still the way we think about '12. Keith, I don't know, would you add anything to that, Keith or...
Keith S. Sherin: I think our strength clearly is in the emerging market, so you can see the orders growth. We've invested, localized our business, globalized our business. I think the team is doing a great job of that. I think U.S., as you said, is a little better than we thought, and we've got to do a good job executing there. And Europe's probably going to stay slow based on reimbursements and the current stress from a government perspective, so I think it's a pretty good outlook.
Scott R. Davis - Barclays Capital, Research Division: And Jeff, I think I can ask this question for pretty much any of the big segments but -- so maybe I'll just ask it in a bigger picture sense. I mean, how do you feel about your cost structure? Obviously, you had a weak pricing environment, but maybe that's also a reflection of your cost structure could have been -- I mean, I guess theoretically a little better and you can show them better incremental margin. But if we do hit a bit of a roadblock in 2012 and things slow down, where do you -- what's your confidence in -- at least on the cost side?
Jeffrey R. Immelt: I'd say, Scott, when you look at our -- when you look at the variable cost productivity, what we're doing in sourcing and direct cost, I think that continues to be very strong. We have increased the investments in global growth, and we have increased investments in R&D. We think a lot of those investments are in place, and they are showing up on the revenue line. Our organic growth is great. Our growth in the growth markets is superior to our peers. Our growth in services is superior to our peers. So we think, Scott, that we are well positioned for 2012. That's really the basis on which we've made these investments. Our 2012 and 2013, our R&D expenses as a percentage of revenue will decline in 2012. But I think when you look at our backlog, when you look at our organic growth, when you look at our revenue run rates, they are extremely strong and I think farewell versus our peers, and that's really why we made the investments.
Keith S. Sherin: I think on the back office, we got to continue to stream line. I think we have opportunities. We're investing in IT projects to try and consolidate and get consistent global ledger platforms. We're going to look at back office outside the U.S. on a broader basis. So I think there's always opportunities there for us, Scott, and I think that will help us to kind of offset some of the funding that we've done on the growth side.
Operator: Our next question comes from the line of Deane Dray of Citi.
Deane M. Dray - Citigroup Inc, Research Division: This new projection of double-digit earnings growth in 2012 really puts GE among the very few companies today to draw the line in the sand and say you can have that kind of earnings growth, and it's certainly welcome news. But could you share a little bit more of the assumptions, most importantly, kind of the geographic splits, core revenues, and can we start there, please?
Jeffrey R. Immelt: Why don't I start, and then, Keith, you fill it in? I think -- I'll start with GE Capital, Deane, just say kind of arithmetically we continue to progress. The returns expand -- the returns stay high on the E&I base, and the amount of the red offsets run off. And so I think from a GE Capital standpoint, a double-digit growth is kind of arithmetic. And then when I look at our big -- 2 big businesses, Aviation and Energy, extremely strong backlogs, tremendous product profiles, really good geographic mix, and I would say comparing to at least in the case of Energy, easier comparisons in 2011 versus 2010. So I like the way our 2 big industrial businesses are positioned. But I particularly like the backlogs and how they're positioned. From the standpoint of Transportation, kind of more of the same as it continues to expand in Healthcare I described earlier. So our belief is we ought to see very attractive organic growth and expanding margins industrially in 2012. And a lot of our positioning is in growth markets. So a lot of our orders strength and a lot of our positioning is there. Deane, I think it goes back to Scott's question. We position to win in '12. I don't think the environment has really surprised us so much, and we position our company to win in '12 in this kind of environment. So we've got the goods, I think, from a product background and from a backlog standpoint. Anything to add?
Keith S. Sherin: Well, I don't have specific geographic numbers but take a look at kind of where we are third quarter year-to-date, 59%, 58%, 59% of our revenue is outside the U.S. Our orders are up 16%. It's pretty well split domestically and globally. We are getting a lot of growth out of the emerging markets. That's going to continue. Our backlog is very strong and it's going to -- we're going to continue to get 59%, 60%, 61% of our growth out of the -- outside the U.S. So I think in terms of that, that's one way to look at it. The other thing, I think, as we get into the fourth quarter here, we're going to do our operating plan. And obviously in December, you'll have a more thorough discussion on what we think the framework is by business. This framework is off of our growth playbooks that we've done in the summer and all of our business updates that we've done after the third quarter. We feel pretty good about it.
Jeffrey R. Immelt: And the $191 billion of backlog is the most backlog we've ever had, and we're really not counting on much in the U.S. in the gas turbine field and stuff like that, so we're really not -- we're not just looking for that much from the developed economies.
Keith S. Sherin: You are going to see a good wind -- good wind activity. As you saw the orders in the quarter, that's going to help. And obviously, that's going to be one thing that will be positive in the U.S. in '12. We'll have a good amount of wind activity as people work to get those units in place to qualify for the production tax credits that are available.
Deane M. Dray - Citigroup Inc, Research Division: And just on that last point for the -- all eyes are on the Energy margins in 2012 and at the Analyst Day, it was a plus 15%. So will we be at a better sense of how much plus 15% there is in the fourth quarter term?
Keith S. Sherin: It should be the starting point. We've said they're going to improve off of where we've been this year. They've got a big volume quarter, and it should be directionally what we're trying to achieve for 2012.
Operator: We'll take the next question with Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: Just wanted to take, I guess, a segment angle to Scott's question, cost structure otherwise. But at Energy, can we have a little more detailed walk on how profit is actually down on 25% revenue growth and some added perspective there?
Jeffrey R. Immelt: Sure. If you look -- I'll do it by the margin percents maybe, Chris. So in the third quarter last year, we're a little over 20% margins. The wind business alone drove margins down by 2.9 points in the Energy segment. A lot of that was price, as I mentioned, and some of it was the mix. M&A acquisitions drove margins down by 6/10 of 1 point. And then our global programs, investments and the balance of plant revenue that we talked about account for the other 1.3 points.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: Okay. And then just directionally with Aviation, you get 2x the GEnx shipments in the fourth quarter. Would we be looking at a similar magnitude of margin impact sequentially as we saw in 2Q to 3Q?
Jeffrey R. Immelt: I have to take a look at that. I would say that I think -- I think that with the increase in the GEnx engines, you'll be closer to flat on op profit V than you will up 7. I think that's probably a way to think about it. I don't have the final agenda -- Aviation number for the fourth quarter, but it will be less of a positive V obviously in the fourth quarter than what we have in the third quarter just based on that GEnx ramp.
Operator: Our next question comes from the line of Jeffrey Sprague of Vertical Research.
Jeffrey Sprague - Citigroup: Just a question on capital allocation. Keith, you mentioned these things improving at capital and maybe in position to start some bulk origination. I think investors are kind of expecting a dividend out of capital and maybe it comes back in share repurchase and -- I remember people talking about it, a dividend beyond kind of the normal December hike. Is that the way to think about things? And how does cash flow and capital allocation actually play out in 2012?
Keith S. Sherin: Well, we expect to have a stronger CFOA from our industrial businesses in 2012 than 2011. We won't have the drag of not having the NBCU cash year-over-year, and we'll have the growth in the industrial businesses including the acquisitions and obviously the growth in our earnings. From a capital perspective, our plan is to have a dividend, to add the GE Capital back to the parent in '12 we've got a lot of work to do on that. We've obviously worked hard over the last couple of years to strengthen our capital ratios. You saw the numbers there, they're very strong compared to peers and other standards out there. As you know, though the Fed just became a regulator in mid-July, it's very early in the process of them getting to understand us, and we're working constructively and transparently with them, and we'll have to give you an update as we go forward with them on that. Our objectives are still the same, and we've got a lot of work to get at that.
Jeffrey R. Immelt: Jeff, I think we expect to have a lot of cash to allocate in 2012. And we -- I think we still want a balanced approach. We like the dividend growth. We like doing small deals, but we think the Energy team has played -- has played right now, and so we'll be selective in terms of where we do M&A. And then buybacks, we've done -- I think that being able to $1 billion in the quarter plus the Berkshire preferred is really $4 billion in Q3, which is going to benefit investors next year. So we'll continue, really, with the balanced and disciplined capital allocation approach.
Jeffrey Sprague - Citigroup: And then just finally for me, just thinking about R&D and Aero going into next year, you got the GEnx ramp, there are some comments out there about fuel burn on GEnx. I don't know if that's kind of normal new engine stuff, but can you speak to what you think you need to spend in '12 on both GEnx and LEAP-X? And can Aero margins actually drift higher next year in the face of that?
Jeffrey R. Immelt: I think we're -- I think we're just kind of in the normal launch on the GEnx. And the performance improvement programs really look to be either on or ahead of schedule, so we feel good about -- we feel good about that. And then, again, I think for next year we've got a shot at expanding margins in Aviation and -- we are launching these new engines, but that's really where our focus is. And we've got a lot of the -- a lot of the GEnx is going to be in the run rate this year in terms of the shipments, so we're kind of -- don't have that headwind when we look at 2012. And I think that's a real positive for investors and that's what we're kind of getting behind us this year.
Operator: And our next question comes from Julian Mitchell with Credit Suisse.
Julian Mitchell - Crédit Suisse AG, Research Division: I just wanted to follow up on Energy Infrastructure pricing just in terms of the -- just the dollar effect negative from price on your earnings. I guess for this year, year-to-date, it maybe $400 million or something for Energy Infrastructure as a whole, the full year may be near $500-million plus. When you were saying you feel good about the energy backlog, I understand the volume outlook is improving, but does that also mean that the price hit to your Energy Infrastructure earnings in '12 should be a smaller number than we're seeing in '11 right now?
Jeffrey R. Immelt: Yes, I mean, I still expect it to be negative year, but it's not nearly going to be at the magnitude that it's been this year. I think we had -- this was a particularly tough comparison year, Julian, just given the wind margins in 2010. So I think that's just the run rate that we see to be less -- much less of a headwind next year than this year.
Julian Mitchell - Crédit Suisse AG, Research Division: Okay. And then just within the Oil & Gas margin specifically, obviously down a fair amount year-on-year, is there anything going on in terms -- I understand there's probably some dilutive effect from acquisition integration -- but is there anything going on in terms of the pricing environment, and maybe you've seen around Oil & Gas pumps a couple of companies in the past 10 days have talked about slowing orders because projects are getting pushed out? Could you just give an update on the -- sort of the volume order outlook and also what the effects from price are in Oil & Gas specifically on the margin?
Keith S. Sherin: Well, the volume -- volume continues to be incredibly strong. As you saw in our orders in turbomachinery and also drilling and production. For the quarter, we -- I can do it again on op profit walk, we had a little over 16% op profit in the '10 -- third quarter '10. A negative price was about $30 million, that's 1.4 points down. The acquisitions were about 7/10 of 1 point, so again we're earning money but at a much lower margin rate than our core business. And then the global investment that we've been making are about another 7/10 of 1 point, getting close to the 13% they had, 12.5% they had in the quarter.
Operator: And our next question comes from Terry Darling with Goldman Sachs.
Terry Darling - Goldman Sachs Group Inc., Research Division: Great. A couple of follow-ups. First, on capital allocation, is -- do you have any update on or sense of timing on the completion of the Fed process? And is that completion a necessity in terms of moving on the dividend? Are those 2 tied at the hip, I guess?
Keith S. Sherin: They are. We're working cooperatively with them, imagine being parachuted in the GE Capital in July and saying, you know, the whole place, they've got a lot of work to do. We're cooperating with them. I think we're just going to have a constructive open dialog. We're having a lot of meetings, and a lot of work is going on. But we're going to respect the Fed, and we're waiting for them to work cooperatively with us on when we make a decision on the dividend back from GE Capital. I think they've got a lot of learning to do, and we've got a lot of information to share with them, and we got to work constructively on that. So it does matter, and it does depend on them, and we're going to work cooperatively with them to get to that point.
Terry Darling - Goldman Sachs Group Inc., Research Division: And Keith, just to be sure I'm clear there, so is the -- is just the dividend up from capital or any dividend at the beginning of...
Keith S. Sherin: It's the beginning of the capital that I'm referring to.
Terry Darling - Goldman Sachs Group Inc., Research Division: Just the dividend on the capital.
Keith S. Sherin: Well, I mean, we'll work with the board, as we always do, on the dividend plans for GE and total, as Jeff mentioned. It's a real party for us in terms of capital allocations, it's the dividend to our investors, and we want to keep our -- around the 45% payout ratio, and we feel we've got a pretty good outlook to deliver on that.
Jeffrey R. Immelt: Terry, I just want to make sure that, that is well understood that the GE dividend to our investors is a real priority. I think that moves really independently of the Fed process. And from the board and from my standpoint, it remains an extremely strong priority for the company.
Terry Darling - Goldman Sachs Group Inc., Research Division: Helpful. And then in terms of the capital allocation thought process between acquisitions and continuing this kind of pace of buyback with some of the dislocation asset prices seem to be some opportunities out there that you mentioned on the capital side, what are you seeing on the industrial side? Or should we think that buyback remains a priority at least in the near term?
Jeffrey R. Immelt: Terry, I kind of take it segment by segment. I think the Energy guys have enough on their plate right now, so I really think -- we are full throttle execution mode in Energy. Aviation and Healthcare, if we do anything, it's going to be kind of on strategy and accretive and in our wheelhouse and in the size range that we've talked about in the past. So we always want to stay opportunistic. We always want to stay focused on our key growth segments in the future. Like I said earlier, I really -- I like our backlog. I like our product profile. I think we have positioned ourself that -- and again, nobody can predict the environment, right? We live in a more volatile world. But I think if you look at our backlog and our product profile, the odds of us having organic revenue growth equal to or greater than our peers is quite high just with the stuff we've got in our backlog right now. So we don't think we need acquisition to deliver on what the company needs to do for our investors in 2012.
Terry Darling - Goldman Sachs Group Inc., Research Division: Okay. And then just lastly, Keith, is there any way to put an EPS number on the dilutive effect from acquisitions all in this year, and what you are expecting EPS accretion all in next year based on the deals that have been done at this point?
Keith S. Sherin: I don't know about an EPS number. In terms of the results, we're going to earn somewhere around $300 million in the deals for 2011. I think the offset that's mostly in the Energy and Oil & Gas segment, the offset to that is in the BD cost and some of the restructuring we've been taken to corporate. It's pretty much a wash for 2011. We will have incremental growth in 2012 from the acquisitions. It should be quite healthy. And we'll have a real decline in the offsetting costs that are coming into corporate. So I think the acquisitions are going to be pretty accretive next year. I don't have an earnings per share, but it's going to grow from the $300-plus million at the Energy segment into 2012 just based on a full year. We also expect to start getting some of our synergies, and you'll have a nice offset by not having some of those costs at corporate.
Jeffrey R. Immelt: It's a good question, Terry. We'll make sure that we show that in December.
Terry Darling - Goldman Sachs Group Inc., Research Division: And sorry, if I can, one more, any tax thoughts for 2012, Keith, that you would want to start us out with here?
Keith S. Sherin: I really don't have a framework for that yet. I'd really love to wait until kind of the December outlook to be able to give you a better look at where we think 2012 taxes are going to be.
Operator: Our next show in comes from John Inch of Bank of America.
John G. Inch - BofA Merrill Lynch, Research Division: Keith, were there gains in the CLL business? I'm just trying -- I realized the provisions were down, but I'm just trying to understand a little bit why exactly the profits were up 55% if the revenues were flat? Are you getting better spreads or...
Keith S. Sherin: There is some better margin in there. I didn't have any gains of a big amounts over $50 million that I recall in CLL. In terms of the walk of profitability from a net income from third quarter last year to this year, the losses were $120 million and the base income was up $125 million. A lot of that was margin.
John G. Inch - BofA Merrill Lynch, Research Division: And is that margin North America mostly, I'm assuming?
Keith S. Sherin: I don't have a split of where is -- I see. There are improved margins in North America, that was a lot of it. There's a little bit of margin improvement in Asia, and margin is about flat in Europe.
John G. Inch - BofA Merrill Lynch, Research Division: And then, can I just ask you guys, I appreciate the color on the Europe profile. Maybe one of the ways to kind of stress test this would be to just sort of look back and try to understand a little bit what your experience was in Europe in the previous recession. Just because all else equal, North America looks -- feel pretty resilient, but Europe seems headed for a recession. So the question kind of comes down to, if we do well into that sort of an environment, what do you think the -- what do you think the risk of some sort of a -- some sort of a haircut to the asset base in the associated book equity would be under that scenario? Is there a way to think about that? I mean, I realized a lot of your loans are collateralized. The GECAS planes can be flown out or reassigned. I'm just curious.
Keith S. Sherin: Look, we've got a couple different stress cases. If you have a normal slowdown in the economy, you're going to have higher delinquencies and that will roll through in sort of normal losses. I don't think there's anything precipitous about that. We have run other stress cases that are a lot tougher in terms of the total capital markets look in Europe, and we still think those are manageable. But I think if you're just talking about Europe -- look, we're expecting Europe to have slow growth. They're going to be deleveraging and there's going to be some volatility, and we lend money on that basis. So I think we would have higher delinquencies. And as you have higher delinquencies, you probably will have some higher losses in Europe. But our base stress cast test with the scenario slowdown, a little slowdown, in Europe is very manageable for us, a normal credit cycle, I would say.
John G. Inch - BofA Merrill Lynch, Research Division: Just lastly, Jeff, as you think out, is there some reason why you wouldn't want to prospectively manage capital lower than the kind of 30 to 40 target over time? I don't mean quickly, but over time, is there some strategic reason why 30 to 40, you feel good about that positioning today?
Jeffrey R. Immelt: John, what I've said is, right now what we've tried to give to investors is a sense of what's in our control and I think we've kind of executed since the financial crisis. Those things are in our control, so that's why we talked about 30 to 40. I think when we look out over time, it's just to me it's what's the way to maximize value of GE for our investors and what's the right split of businesses and what's the right capital allocation. And so we're going to have the reflect on that once we kind of go through the processes we are in today, but it's going to be -- it's going to be how do you maximize shareholder value, what's the right split?
Operator: Our next question comes from Nigel Coe with Morgan Stanley.
Nigel Coe - Morgan Stanley, Research Division: I understand the Fed is still doing their work and so there's not much to say there. But any sense as far as whether GE Capital Services or GECC is the right entity? And both have strong Tier 1 ratios, but the 1.3 point difference between the 2 has a minimal impact on the potential set of capital that you can maybe bring back to the parent. But any sense on whether it's GECS or GECC?
Keith S. Sherin: We're still working with them on what's going to be the holding company level. I think you've seen we strengthened the ratios in both entities consistently over the period and both are manageable. There's a runoff operation in GECS, so the runoff insurance operations don't relate to the ongoing running of GE Capital. We'll have to see which entity is the right one to land on. At the end of the day, we're going to be responsible for both. We've consolidated the GECS level and will be responsible for all the operations of that entity no matter which gets picked for the regulation. The regulation is going to be throughout the company is the bottom line, Nigel.
Nigel Coe - Morgan Stanley, Research Division: Okay. And then, one final one, obviously, you got -- a big maturity coming up in 2012 in GE Capital, [indiscernible] but you've also got a lot of cash in the balance sheet. How much of the $83 billion of cash is earmarked for those maturities?
Keith S. Sherin: Well, we plan on having a very solid funding year in 2012. We're going to end the year just coincidentally somewhere around $87 billion, which is very close to the number we have today. We plan to issue probably $25 billion to $30 billion. We're still working on our plans for next year. We did obviously $25 billion this year. We did $24 billion, we'll do $25 billion. We've got alternative funding growth of $5 million to $15 million. We've got $1 billion. We've got the business cash flows and then we have the maturity. So we're planning on bringing that cash pool down substantially next year. I mean, basically we've immunized a lot of the long-term debt maturities in 2012 with cash. We borrowed it in advance. And so we're planning on bringing that cash pool way down in 2012 by the end of the year, bring it closer to 50 than it is to the 80 that we have today.
Nigel Coe - Morgan Stanley, Research Division: And what's the impact on earnings because obviously you have a positive spread as you pay down debt with cash?
Keith S. Sherin: Well, I think you'll start to get some of that in '12 and you'll get some of that in '13. Right now, the negative carry is several hundred million dollars a year for having all this excess cash.
Operator: And our final question comes from Steven Winoker, Sanford Bernstein.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: All right. So just -- I guess, big picture for a second, you have been talking about double plus signs in that 2012 since your last outlook last year in December. What's your conviction or confidence level as we start talking about that Energy number, the tax rate, the dividends? I know there's a lot of moving parts here, but if you sort of gauge your confidence level around getting that in each of those points relative to where you've been over the last, I guess, 9 months or so talking about -- talking about this the whole time.
Jeffrey R. Immelt: Again, our order rates, backlog, market position. By market position, I mean our share position in key products has only improved since the first time we've talked about this. Clearly, we've got to be mindful of what's going on in Europe and things like that. But when you look at our backlogs in Aviation and Energy, they're quite strong. And we've got a full year carryover of the acquisitions to what Keith talked about. We've done a good job from a capital allocation standpoint of retiring the preferred stock that's behind us. I think in GE Capital, you're going to have a better commercial real estate year next year than this year. So I think if you look at the big drivers, Steve, it's just -- it's either in backlog or the momentum we have in Q3 helps us -- helps solidify that view going forward.
Keith S. Sherin: Yes, I think it does depend obviously on what happens in the world. Our view is we're going to have a slow growth developed world. We're going to have a slow growth in the U.S. and slow growth in Europe. Europe could be flat next year even -- or maybe it's in a recession. But it's not -- we're not planning on a real huge decline in Europe or in the U.S. And in the developed world -- developing world, we expect to have continued good orders momentum, and it's very broad-based. It's in all these growth regions that we're operating in. And we think that's going to continue with some volatility. I don't think -- you don't think Brazil goes straight up forever, and China will have some slowdowns from 9% to 8% or whatever. So we're planning on a slow growth developed world, continued high-growth developing world based on the businesses we're in. We're in heavy infrastructure, and that's where those capital expenditures are being made in those growth regions. And we've got a lot in the backlog, as Jeff said, we're going to go through our operating plan -- plans here in the fourth quarter. We'll give you a good update in December. But it feels pretty good about where we're positioned today. The fourth quarter and the Energy performance is going to be an important indicator for us we've got to execute, and we'll have to show you that. And we feel good about that outlook, and we'll give you an update, as we said, in December.
Nigel Coe - Morgan Stanley, Research Division: And that pricing in the backlog, you're basically -- you're saying it is not getting any worse at a minimum in getting better really the way you're looking at it.
Keith S. Sherin: I think the comparisons are certainly easier obviously when you look at what we've had to deal with, with the margin compression in 2011. We're still going to have price pressures, as Jeff said, in 2012. I hope it's less than that we had in 2011 when you look at the full year. We've got a lot of orders to come to see what happens with that in 2012.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: And you took provisions up to over $1 billion this time but not by a huge amount. Was that provision increased? I mean, how much of that was just driven by your current loss experience versus your concern about what you're seeing in Europe and other places?
Keith S. Sherin: The main driver in the quarter was, what we talked about, the retail business went back to more normal level of delinquencies. We had in the U.S. about $300 million impact in the provision in the third quarter versus the second quarter. That was driven by delinquencies in the U.S. retail business going up 39 basis points. Now on a historic basis, you go back 3 or 4 years and you average the third quarter versus second quarter, it normally goes up 55 basis points, so a little better than historic but as we planned, and that's the main driver for the provision change upward in the quarter.
Trevor A. Schauenberg: Just a couple of items to close out, housekeeping announcements. The replay for today's webcast will be available this afternoon on our website. We'll be distributing our normal quarterly supplemental data for GE Capital around noon today. And I do have a couple of announcements for upcoming investor events at year end. First, we will host our GE Capital Investor Meeting in person on December 6 at our -- near our headquarters site at Norwalk, Connecticut. We'll send out details once that's finalized. Second our Annual Outlook Investor Meeting with our Chairman will be in New York City at the normal place on December 13 and more information will be sent out closer to that date also. Finally, our fourth quarter 2011 earnings webcast will be on January 20. As always, we'll be available today to take your questions, so thank you very much.
Operator: This concludes your conference call. Thank you for your participation today. You may now disconnect.